Operator: Good day, and thank you for standing by. Welcome to the Cabot Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Steve Delahunt, Vice President, Treasurer and Investor Relations. Please go ahead.
Steve Delahunt: Thanks, [Dedy] [ph], and good morning. I would like to welcome you to the Cabot Corporation's earnings teleconference. With me today are Sean Keohane, CEO and President; and Erica McLaughlin, Executive Vice President and CFO. Last night, we released results for our second quarter of fiscal year 2025, copies of which are posted in the Investor Relations section of our website. The slide deck that accompanies this call is also available on the Investor Relations portion of our website and will be available in conjunction with the replay of the call. During this conference call, we will make forward-looking statements about our expected future operational and financial performance. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears in the press release issued last night and in our 10-K for the fiscal year ended September 30, 2024, and in subsequent filings we make with the SEC, all of which are available on the company website. In order to provide greater transparency regarding our operating performance, we refer to certain non-GAAP financial measures that involve adjustments to GAAP results. The non-GAAP financial measures referenced on this call are reconciled to the most directly comparable GAAP financial measure in a table at the end of our earnings release issued last night and available in the Investors section of our website. I will now turn the call over to Sean, who will discuss the second quarter highlights and the expected impacts to our business from recent tariff announcements. Erica will review the second quarter financial highlights and the business segment results. Following this, Sean will discuss our outlook for fiscal 2025 and then open the floor to questions. Sean?
Sean Keohane: Thank you, Steve. Good morning, ladies and gentlemen, and welcome to our call today. I am pleased with our strong second quarter results, which were in line with our expectations. We delivered Q2 adjusted earnings per share of $1.90, which is up 7% as compared to the same period in the prior year. When combined with first quarter results, adjusted earnings per share grew 10% in the first half of fiscal 2025 as compared to the same period in fiscal 2024. Overall, we continue to execute at a high level and demonstrate agility in this dynamic and challenging macroeconomic environment. EBIT in Reinforcement Materials was 131 million, up 1% sequentially and down 12% year-over-year. Results in this business remained strong despite the volume headwind from lower tire demand within the quarter. EBIT in Performance Chemicals was up 61% compared to the second quarter of fiscal 2024 and driven by improved margins and higher volumes, particularly in the fumed silica product line. Volumes in the segment have generally stabilized and reconnected to underlying demand drivers in our key end markets. Additionally, we continue to make strong commercial progress in the battery materials product line, generating year-over-year volume growth of 10% in the first half of fiscal 2025 with a solid level of profit growth. Our strategy is to focus on the high-performance segment of the market in China with differentiated products while developing the business with customers that are building battery plants in the Western economies. While the development of battery production in North America and Europe is developing more slowly than originally anticipated, we continue to believe these markets will become large and therefore, remain a key growth priority for us. Returning capital to shareholders remains an important component of our capital allocation framework. And in the quarter, we returned 70 million to shareholders through a combination of share repurchases and dividends. Given the strength of our underlying business fundamentals and conviction in the long-term cash flow generation of our portfolio, yesterday, we announced a 5% increase in our quarterly dividend. This is consistent with our capital allocation framework to increase the dividend as our earnings and cash flows grow. We have increased our annual dividend per share payment every calendar year for the last 10 years. As a result of the recent tariff announcements, I thought it would be helpful to provide more detail on our direct tariff exposures by region. Given that we have a make and sell in-region model, our businesses are largely insulated from direct tariff impacts, and we are well positioned to support our customers and capture growth from shifting downstream supply chains. In each of our major regions, the Americas, EMEA and Asia Pacific, at least 95% of our volumes within those regions are produced in that same region. Specifically in North America, our products are considered USMCA compliant, and therefore, we expect no impact at this time from any tariffs in this region. Between the major regions, there are small amounts of cross-border sales for some of our high-end specialty products, where we are directly exposed to tariff increases. In those cases, we expect to be able to pass on any tariffs through contractual formulas and by implementing increases in spot pricing. While the current tariff landscape is highly dynamic with varying levels of implemented, proposed and paused tariffs around the world, the Cabot team continues to respond well in support of our customers and we believe that our direct exposure is manageable. The uncertainty is, however, causing customers to adopt a cautious posture in the short term around inventory levels, as we are seeing signs of customers curtailing production to reduce inventory levels and manage risk until the trade picture becomes more clear. To address the uncertainty caused by tariff policies, we are executing a broad range of countermeasures. First and foremost, we are working closely with our customers to understand how their production might shift as a result of tariff policies and offering volume support from our expansive global plant network. In the limited number of cases where our products are exposed to direct tariffs, we expect to recover the impacts through formula and spot pricing adjustments. We expect our near-term volumes to be impacted by customers adopting a more cautious approach to inventory levels and are implementing a range of product optimization actions across our global plant network. We are also executing fixed cost and procurement initiatives that we expect will contribute $30 million of savings in fiscal year 2025. And finally, we will adjust the timing of some capital projects to align with customer demand, resulting in a lower CapEx forecast, which is now expected to be in the range of $250 million to $275 million. Despite the uncertainty caused by tariff policies, we believe the fundamentals of our company remain very strong and are creating for tomorrow strategy positions us well for long-term shareholder value creation. There are several features of our company that we believe distinguish us from competition and set us up for long-term success. First, Cabot is a global company with assets and sales that are relatively equally distributed across the 3 major regions of the world, the Americas, EMEA and Asia Pacific. This balanced geographic footprint and model of Macan region, selling region is more important than ever in this changing global trade environment. In each of these regions, we have local assets and local management teams to serve our customers giving us unique market insights and the necessary experience to navigate local complexities and capture growth. We believe our track record of strong cash generation and our investment-grade balance sheet allow us to weather economic cycles while enabling the capacity to fund strategic growth investments and return consistent robust levels of cash to shareholders. As I mentioned earlier in my remarks, yesterday, we increased our dividend by 5% and expect to return meaningful cash through share repurchases in fiscal 2025. And finally, I believe this management team has demonstrated a commitment to disciplined execution, resulting in our ability to navigate through dynamic macroeconomic environments while achieving our goals and delivering strong shareholder returns. I will now turn it over to Erica to discuss the financial results for the quarter. Erica?
Erica McLaughlin: Thanks, Sean. I will start by discussing results for the company and then review the segment results. Adjusted earnings per share for the second quarter of fiscal 2025 grew 7% from $1.78 in the second quarter of fiscal 2024 to $1.90, with growth from the Performance Chemicals segment, partially offset by a decline in the Reinforcement Materials segment. Capital from operations was 73 million in the quarter, which included a working capital increase of 76 million. Discretionary free cash flow was 110 million in the quarter. The cash balance at the end of the quarter was 213 million, and our liquidity position remains strong at approximately 1.2 billion. Capital expenditures for the second quarter of fiscal 2025 were 72 million and we expect 250 million to 275 million of capital spending for the fiscal year. Additional uses of cash during the second quarter were 23 million for dividends and 47 million for share repurchases. Our debt balance was 1.3 billion, and our net debt to EBITDA was 1.4x. The year-to-date operating tax rate for fiscal 2025 was 28%, and we continue to anticipate our operating tax rate for fiscal 2025 to be in the range of 27% to 29%. Now, moving to Reinforcement Materials. During the first quarter, EBIT for Reinforcement Materials was 131 million, which was a decrease of 18 million as compared to the same period in the prior year. The decrease was primarily driven by lower global volumes, which were down 7% year-over-year from lower tire demand and the contract outcomes in South America. Regionally, volumes were down 9% in the Americas, 8% in Asia Pacific and 1% in Europe. Looking to the third quarter of fiscal 2025, we expect Reinforcement Materials EBIT to be down modestly as compared to the second quarter of fiscal 2025 as global macroeconomic uncertainty is expected to cause customers to be cautious about orders and inventory levels. Now, turning to Performance Chemicals. EBIT increased by 19 million in the second fiscal quarter as compared to the same period in fiscal 2024. The increase in the second quarter was due to higher volumes and higher gross profit per ton. Volumes were up 4% year-over-year, driven by higher volumes in our fumed metal oxides product line as we saw a reconnection of underlying demand to our volumes in construction and semiconductor applications as compared to the prior year. As we've noted before, our fumed metal oxide product line has above-average margins for the segment. So, the increased volumes in this product line drove meaningful improvement in EBIT for the segment. The improvement in gross profit per ton was driven by targeted price increases and cost savings and optimization measures across the segment. Looking ahead to the third quarter of fiscal 2025, we expect Performance Chemicals EBIT to be in line with the second quarter of fiscal 2025 as seasonal increases are largely offset by customer destocking in China, as customers remain cautious about inventory levels given the tariff policy situation. I will now turn the call back over to Sean to discuss the fiscal year outlook.
Sean Keohane: Thanks, Erica. When we said our fiscal year 2025 adjusted earnings per share guidance back in November, we weren't anticipating tariffs, and we assume global GDP growth as projected at that time. Obviously, the situation has changed dramatically with significant tariffs announced by the U.S. administration and corresponding counteraction. While the situation remains extremely dynamic, the uncertainty is beginning to have an impact on the order patterns at our customers as they adopt a more cautious posture on inventory levels. At the start of the fiscal year, we are expecting volumes in Reinforcement Materials to grow in the low-single-digit percentage and volumes in Performance Chemicals to increase in the mid-single-digit percentage. The guide also assumes November's foreign exchange rates and the forward curve for oil at that time. While we delivered as planned through the first half of the fiscal year, the escalating tariff for in recent months is causing uncertainty for customers and therefore, is now expected to impact our demand levels in the second half of the year. At the same time, we are facing a slowing GDP outlook and lower energy prices, which negatively impact our energy center revenue and the benefit from our yield improvement projects. To respond to the weaker demand environment, we've been executing a range of procurement and cost savings initiatives. These measures are a combination of belt tightening, targeted restructuring actions and procurement savings, which we expect to total approximately $30 million in the fiscal year. These steps have been helpful, but did not fully offset the expected volume impact in the second half of our fiscal year. In Reinforcement Materials, we now expect volumes to decline in the low-single-digit percentage for the fiscal year. And in Performance Chemicals, we are expecting volume growth in the low-single-digit percentage. With this backdrop in mind, I'll talk about our 2025 outlook. First, as I mentioned previously, we feel very good about the first half results, which were in line with our expectations. In the first half of fiscal 2025, adjusted earnings per share was up 10% as compared to the prior year, while adjusted EBITDA was up 7% over the same period. These results had us on a path to achieve our full year adjusted EPS guidance range. But we are now in a period of uncertainty around trade policy, which is causing cautious customer order patterns, resulting in lower volume estimates in both segments; based primarily on the change of our volume outlook, we now expect full year adjusted earnings per share to be in the range of $7.15 to $7.50. This range, which is a decrease of about 3.5% at the midpoint includes our proactive countermeasures just discussed. Our outlook also reflects April foreign exchange rates and the forward curve for both energy and interest rates. This revised range continues to represent earnings growth in the fiscal year despite the significant uncertainty caused by tariff announcements. Cash generation is expected to remain strong, and we expect to return a robust amount of cash to shareholders through dividends and share repurchases. Our recent announcement of a 5% increase in our dividend is consistent with our expectation to grow the dividend over time as earnings and cash flows grow. We also expect to repurchase between 100 million and 200 million of shares in fiscal 2025. Despite the current environment, I remain very pleased with how the company is positioned today. I believe we have the right strategy and capital allocation priorities, and I'm confident in our team's agility and execution capabilities. Thank you very much for joining us today, and I'll now turn the call back over for our Q&A session.
Operator: [Operator Instructions] And our first question today comes from John Roberts of Mizuho. Your line is open.
John Roberts: Thank you. I just wanted to do a little bit of bridge work on the reinforcement volumes. So, you went from plus low-single digit for the year to down low-single digit for the year. So, several percentage point swing that's there, and it's all in the second half I guess. The first half was -- it looks like down 3% in the first half, right? You were plus 1% in the first quarter and minus 7% in the second quarter. So that seems like you were expecting a lot of gain in the second half originally. I don't know, what's the second half kind of look like second half to second half?
Sean Keohane: Sure, John. So, maybe just a bit of context around volumes first off, and then I'll try to address your bridge question there, because I think the volume picture globally has developed a bit differently depending on the region. So, maybe just a quick walk around the world and then again, I'll address that bridge question. In the Americas, as you saw in the press release and the comments here, volumes were down pretty sharply. The volume decline was driven by South America, where we saw lower contract volume outcomes as we told you last quarter. Additionally, I think that market remains difficult in the near term as they're seeing an elevated level of Chinese tire imports. In North America, tire import levels were about the same as last year, and we only saw a small decline in our volumes as passenger car and TBR OE, in particular, was weak. And this was called out by many of the global tire makers. The replacement market was a bit soft on economic uncertainty as well. So, the Americas was heavily influenced by South America. In Asia, we saw volumes down 8%, with China being the biggest driver. Last year, demand stayed really strong through the Lunar New Year holiday as our customers produced very aggressively at that time for the export markets. This year, what we saw was a more normalized Lunar New Year holiday, where customers curtailed production given the sort of mounting global trade uncertainty and as they work down inventories. So in Asia was really a difference in how China developed. And then in Europe, volumes were about flat year-over-year. As we told you last quarter, we picked up some volumes in the contract season as customers expressed a continued preference for local production. But sometimes new lanes that you pick up can be a little slower to ramp up as customers manage their inventories, but we'd expect these volumes to build as we move through the balance of the year. So, that's a little bit of a sort of a walk of what's happening around the world. If you look at the RM volume bridge, we said we were going to be up low-single digits in November based on market projections for demand at that time. And then in December, when we commented on our guide, we were expecting sort of flat because updates on the market view for tire production and auto were coming through, and they were being downgraded. And now we sit here expecting down low-single digits in -- for the full year as we're starting to see cautiousness from customers. So, that's kind of the picture. Now certainly, we were expecting a stronger second half as you pointed out, I think that's pretty consistent with what the tire makers are calling for. I believe Michelin [indiscernible] talked about a stronger second half. But it's unclear whether that will actually happen. And it's important to remember, our second half ends in September 30, whereas most of those companies calling for a stronger second half would -- are on December year-end. So, we may not see much of that if it materializes; but that's a bit of a picture on the volume front, John. Hopefully, that's helpful.
John Roberts: Did tire imports into the U.S. accelerate ahead of the tariffs? And is there an air pocket here on the other side of the tariffs?
Sean Keohane: Yes. So, the tariff -- the tire import levels into the U.S. were about the same as they were a year ago. So, no meaningful change year-over-year. They had elevated and remained at that level, but no significant change if you look at this period versus same period last year.
John Roberts: Thank you.
Operator: And our next question comes from Jeff Zekauskas of JPMorgan. Your line is open.
Jeff Zekauskas: Thanks very much. In your Reinforcement Materials segment, how do volumes split between North America and South America roughly?
Sean Keohane: So, South America would be a smaller market, Jeff, relative to North America, but declines were greater in South America. So, you could kind of look at it as sort of 60-ish percent North America, 40-ish percent South America, somewhere in around that split.
Jeff Zekauskas: So, then South American volumes were down close to 20% in the quarter.
Sean Keohane: Quite sharply. You're probably in the ZIP code.
Jeffrey Zekauskas: Is that a trend that you expect to continue over the next couple of quarters?
Sean Keohane: We would expect it to sort of hold at the level that it's at right now until we see how trade situation settles out. The South American market is being impacted by tire imports. And so we'd expect that to hold. That's our current assumption on it, Jeff. I think that's reasonable given all of the uncertainty right now.
Jeff Zekauskas: Can you talk about the underlying price dynamics in the Reinforcement Materials segment?
Sean Keohane: The price dynamic is consistent with what we shared last quarter when we came through the contract negotiations. We shared that pricing was largely in the flat range through the contracts. And so obviously, we're operating under those contracts right now. So, there are not changes during the year, because most of the business in the West is contracted. In Asia Pacific, which is more of a spot market, I would say, margins or pricing levels are holding fairly steady, but those are at a lower level than the margin levels in the West. There's always a little bit of cycling of price and margin depending on how raw materials move because those are spot market -- those are spot price kind of markets. And so you've got to adjust quickly if raw materials are moving around.
Jeff Zekauskas: And prices in South America?
Sean Keohane: Those are largely contracts. So, consistent with my contract comments I just shared.
Jeff Zekauskas: And then lastly, what's going on with your energy center revenues. What was the change perhaps in the first half? What do you expect for the change in the second half in some kind of revenue terms?
Sean Keohane: Yes. So, most of the cogen impact in the companies in Reinforcement Materials, where we have the energy centers, and that's where the biggest volumes, obviously, for carbon are. For that segment, the energy center impact the way that we think about it is net of utilities. So, the energy center benefits net of utilities. And in Q2, it was really flat year-over-year, so no impact. We are expecting some second half impact as we see oil prices decline here given the economic uncertainty that's really all in the end, tied back to tariffs. But as lower energy prices are expected to flow through, again, we are holding the forward curve is our assumption. So, we would expect some back half impact probably in the mid-single-digit millions impact headwind in the second half, but first -- in this quarter, it was not really a part of the story.
Jeff Zekauskas: Okay, great. Thank you so much.
Sean Keohane: Sure.
Operator: And our next question comes from Josh Spector of UBS. Your line is open.
Josh Spector: Hi, good morning. I wanted to ask on Performance Chemicals. You made the comments around seasonal increases offset by China destocking. There's been a lot of mixed signals in our coverage around what we're seeing in terms of seasonal improvements. So, I wanted to focus on that and just ask where you see kind of a normal seasonal trend playing out either market or region and where are your assumptions around a more muted trend sequentially?
Sean Keohane: Yes. Hi, Josh. So, we have certain applications that are more focused around the spring weather. So, you could call them sort of ag farming-related type applications. Also, you'll see on the coating side of the house, you'll see the decorative coatings market start to pick up in the spring time here. That's a normal seasonal housing trend. And so we see those markets responding as they normally do. I would not say there's any real change in those. But that's basically the seasonal dynamic that you see. I guess the other one, I might call it a seasonal dynamic is usually this quarter is stronger in China as they come off the March quarter, which has the Chinese New Year holiday, and it's normally you see this quarter being quite a strong quarter for Performance Chemicals. I think the one difference we're seeing right now is the just general uncertainty related to tariff negotiations, where I wouldn't say it's changing any of these sort of seasonal patterns. But just in general, customers are exhibiting a little more of a cautious posture on things and not wanting to get out over their skis on inventory levels and kind of ordering what they know they have orders for themselves rather than building to stock. And I think that general trend, while we view it as a temporary phenomenon, it is something that we are beginning to see in the early parts of this quarter and we'd expect -- our expectation is that, that will continue at least through the quarter here until we see how things settle out on the trade tariff negotiation front.
Josh Spector: Thanks. That's helpful. I wanted to just ask on the cost savings, just the cadence, if you can give some color there. So, the 30 million how does that layer in over the next couple of quarters? I guess, does that set a higher run rate number when we think about a full year? And is any of that temporary or is all that permanent?
Erica McLaughlin: Hi Josh, I'll address that. So, I think the cost savings in nature across the fixed cost and procurement initiatives that we have underway, I would say there are a variety, some I call belt tightening, so it might be more temporary like things like travel and some are related to more structural, I'd say, restructuring actions that would continue or procurement efforts that will continue. So, I'd say it's a mix within there. If you think about the $30 million we said in the first half, we recognized probably about one-third of that, most of it in Q2 and then so we'd expect the about two-third in the second half of the year.
Josh Spector: Okay. So that doesn't really build sequentially then, if you're recognizing about 10 million now that's kind of -- 10 million a quarter. Is that right? Or is that wrong?
Erica McLaughlin: That's right. It's more ratable, if you think, quarter-to-quarter from Q2.
Josh Spector: Okay, thank you.
Operator: [Operator Instructions] Our next question comes from Laurence Alexander of Jefferies. Your line is open.
Daniel Rizzo: This is Dan Rizzo on for Laurence. I was just wondering with all the volatility and the sort of tariffs, what industry capital utilization is now as opposed to what it was, say, last quarter?
Sean Keohane: Dan, sorry, there was a bit of difficulty on the transition there with the call, but I think you're asking about capacity utilizations. Is that it?
Daniel Rizzo: That's correct, yes.
Sean Keohane: Yes. Yes. So, when we look at capacity utilization, it of course, depends by business. I think if you look at Reinforcement Materials I would say it's pretty consistent with where things were last quarter. It varies a bit by region. I think in North America, utilizations are probably in the 80, low 80s sort of a range for the industry. In Europe, it would be higher than that, I would say, sort of upper 80s range, because in Europe, you're sort of net short of capacity, so they rely on imports and there's a strong preference for regional supply. So, the utilizations are as would be expected, higher there. And then in Asia Pacific, what we see is that we are running generally our plants at a pretty high level. So, normally in China, we're sort of in the 90-ish percent range. As we look forward, given the uncertainty around tariffs and people operating a bit more cautiously, that will -- level of utilization will probably pull down a little bit there, but for us, but that's kind of how utilizations sit at this point. And again, our view here is people are just operating a bit cautiously in the short term here and taking some temporary actions to adjust inventories and just be cautious generally. So we don't, at this point, see it as a structural decline, and we're not, we're not calling for recession and that's not what's assumed in our guide here. It's really a temporary cautious sort of inventory pullback.
Daniel Rizzo: Okay. That's very helpful. And then you mentioned CapEx going down to 250 million to 275 million, but I think you said there's still a growth component of that. I was wondering how much of that is kind of growth CapEx and how much is maintenance at this point.
Sean Keohane: Yes, sure. Yes. So, what we're doing on the CapEx front, as we've been consistently talking about is making sure that we're trying to pace our growth investments with actual market demand. And so the -- back there on CapEx is really around the timing of growth investments and just trying to adjust those as we're seeing market demand pick up. In terms of the total CapEx --
Erica McLaughlin: Yes, I think it is split, Dan. So -- probably about 100 million is growth related. I'd say the largest project there is the completion of our new capacity in Indonesia for the Reinforcement Materials segment.
Daniel Rizzo: Thank you very much.
Operator: I'm showing no further questions at this time. I'd like to turn it back to Sean Keohane for closing remarks.
Sean Keohane: Great. Thank you very much for joining us today and for your continued support of Cabot, and we look forward to speaking with you again next quarter. Have a great day.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.